Operator: Ladies and gentlemen, thank you for standing by. My name is Krista, and I will be your conference operator today. At this time, I would like to welcome everyone to the VF Corporation Fourth Quarter Fiscal Year '25 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. [Operator Instructions] Thank you. And I would now like to turn the conference over to Allegra Perry, Vice President of Investor Relations. Please go ahead.
Allegra Perry: Hello, and welcome to VF Corporation's fourth quarter fiscal 2025 conference call. Participants on today's call will make forward-looking statements. These statements are based on current expectations and are subject to uncertainties that could cause actual results to differ materially. These uncertainties are detailed in documents filed regularly with the SEC. Unless otherwise noted, amounts referred to on today's call will be on an adjusted constant dollar and continuing operations basis, which we've defined in the presentation that was posted this morning on our Investor Relations website and which we use as lead numbers in our discussion. Because we believe they more accurately represent the true operational performance and underlying results of our business. You may also hear us refer to reported amounts, which are in accordance with U.S. GAAP. Reconciliations of GAAP measures to adjusted amounts can be found in the supplemental financial tables included in the presentation which identify and quantify all excluded items and provide management's view of why this information is useful to investors. Joining me on the call will be VF's President and Chief Executive Officer, Bracken Darrell, and EVP and Chief Financial Officer, Paul Vogel. Following our prepared remarks, we'll open the call for questions. I'll now hand over to Bracken.
Bracken Darrell: Thank you, Allegra and welcome to our Q4 fiscal 2025 earnings call and our last call of the fiscal year. In our fourth fiscal quarter, revenue was down 3%, in-line with our guidance of negative 2% to negative 4%. The Reinvent program and our efforts to improve our operating profitability are working well and significantly overperformed on operating income, up by 400 basis points year-over-year to $22 million, exceeding our guidance. Gross margin improved 560 basis points versus last year from lower material costs, less distressed sales, less discounting and higher quality inventory. SG&A declined 2% as we executed comprehensive structural changes as part of our operating model transition under reinvent to simplify the company and enable long-term growth. Net debt was down by over 1/4 versus last year, we reduced leverage at year-end by a full turn. We are on track to deliver our stated medium-term goal of 2.5 times leverage. Now let me share further details on our total revenue growth. At a high level, if you exclude Vans, we're up 4%. So of course, let us talk about Vans. As I've said before, there is nothing that's not working at Vans that we can't fix with what's working in the rest of the business. We told you last quarter that turnarounds are often nonlinear. To be clear, turnarounds can look nonlinear from a numerical standpoint, and this quarter is an illustration of that. However, we are methodically advancing all our initiatives. The actions we are taking to drive improved performance and progress in our turnaround are moving forward in a clear linear manner. In fact, at Vans, we are making progress every week to turn around the business. You don't see the results just yet numerically, but you will. And when you do, there'll be high quality. Vans was down 20% in the quarter after being down 8% in the prior quarter. This quarter's step back doesn't tell the whole story. If you adjust for deliberate strategic actions to manage the marketplace and set ourselves up to achieve profitable growth, the revenue decline was down high single digits versus last year and is consistent with last quarter's trend. Put another way, 60% of decline this quarter is a direct effect of deliberately reduced revenue to eliminate unprofitable or unproductive business. Of the total Q4 decline in Vans sales, almost 25% of it was driven by reduced store fronts and reduced channel inventory in China. As we've said in prior calls, the turnaround in APAC has been slower. We are taking the actions needed to set that marketplace up for long-term growth. Another 35% of the total decline was driven by additional -- an additional set of deliberate actions, which were also in place last quarter that had a lower impact. These include the closure of value doors mainly in the U.S. that were margin eroding. The reduction of distressed sales that were unprofitable and the closure of our own stores, also mainly in the U.S. that were unprofitable. And the results of these actions and others are that Vans gross margin is up significantly year-over-year. Now let me dissect the revenue a bit further. In non-value wholesale, sell-out was slightly up. And in our key accounts, Vans sell-out was up double digits. The balance of 40% of the decline was all driven by DTC, which is primarily due to soft traffic. What are we doing to address traffic? We are evolving our marketing rapidly to drive brand heat and we'll get that back. As I said, we've demonstrated that we can do this at Timberland, for example where we also had a period of declines. So to answer the question, I'll get later, how do I feel about Vans and its outlook? Good. As confident as ever. We're executing our game plan, as Sun recently laid out. On talent, Sun's building her team has made several key hires, including the Head of Merchandising, and others are well underway. On products, we continue to focus on footwear by bringing in newness that rollout over back-to-school holiday and next spring and beyond. While reigniting the existing core icons. Our focus on women and youth is starting to show early results with a positive response to the super low Pro, which was just launched and sold out in key colorways early on. Girls bought this product disproportionately a signal that when we have something new and on trend, girls and women will come back. In terms of marketplace, we are pursuing brand elevation through channel cleanup, elevated stores and digital marketplaces, digital experiences. The cleanest of our channels are non-value wholesale, which is a high proportion of new products is showing encouraging results and we have opportunities to keep driving more new products to increase that momentum and improving marketing. To quickly summarize, we are making the right decisions to build a durable, growing brand over the long-term. We are learning every week, and we're making progress. Growth will come. Now let me talk about some key highlights from our other brands. In the North Face, revenue for the brand was up 4% in Q4. DTC rose 9%, with positive growth in all regions, including double-digit increases in both the Americas and EMEA. From a product standpoint, outerwear was a standout and footwear continued to grow nicely in all regions. Timberland continued its strong performance with revenue up 13% in Q4. Wholesale and DTC were both up globally with lower discounts driving higher margins. Momentum in the 6-inch premium boot continued, while other styles also performed well, including Stone Street and Mt Madson. U.S. search interest growth remained strong in the quarter. Let me close by touching on tariffs and the market uncertainty where Paul will go deeper. How are we approaching tariffs? The same way as we are approaching the rest of the business with a long-term view but a short-term pace. This is of course, the dynamic situation. But at a high level, we are well-positioned to manage the impact. We have an asset-light model, which gives us great flexibility to move things and adjust quickly. And in fact, over the past several years, we've strategically diversified our supply chain and proactively reduced our U.S. finished goods sourced from China to less than 2% today. We've also taken steps to strengthen our flexibility, learning from prior macro events. We're seasoned. When the tariffs were announced, we immediately activated our team and processes, organized a series of daily meetings to share feedback from Washington and supplier countries. Supply chain opportunities and cost and factory moves, pricing strategy and communications. These continue coordinated, daily and effective. As a result, we have excellent visibility on the whole equation and have activated a plan to effectively manage it. This is also a catalyst to make our business operate with a faster cycle time, the way we will always operate going forward. Looking ahead, clearly, there is a lot of uncertainty out there from a macro standpoint, but we are not at all distracted by it. Our goal is to leverage it to improve our business. Our transformation is on track and progressing well and is allowing us to be more agile and nimble, making better decisions more quickly. We are making progress towards our medium-term goals, regardless of the volatility of the macro environment. We continue to advance on our goal to create a unique multi-brand portfolio company. I'm more confident than ever that the actions we are taking will enable VF to return to growth and deliver strong, sustainable value creation. With that, I'll now hand it over to Paul to run through the financials. Paul?
Paul Vogel: Great. Thank you, Bracken. While I normally dive right into the numbers, I did want to start today by addressing the current tariff environment. As Bracken mentioned, we have been highly proactive in addressing the potential impact from the newly implemented tariffs to ensure that we not only overcome any changes from tariff policy, but that we also emerge even stronger as a company. And while we continue to closely monitor the situation, we believe the opportunity to unlock value within VF lies within our control. This is what will ultimately drive improved performance and lead to VF turnaround. We are activating a multi-pronged plan to address the potential impact from tariffs and believe we can offset these. Let me start by sharing some additional information on our sourcing structure into the U.S. From a total company perspective, approximately 35% of our global cost of goods sold is related to product costs for goods sold in the U.S. And geographically, our exposure looks like this. Starting with China. China is less than 2% of total cost into the U.S. and some may recall a higher global number for China. That was because we do manufacture in China, but mostly for goods sold within China. Outside of that, our top sourcing regions of Southeast Asia and Central and South America in aggregate account for about 85% of what comes into the U.S. Included in the 85%, our top four sourcing countries are Vietnam, Bangladesh, Cambodia and Indonesia in that order. I also want to suggest that the potential of additional costs created by the current 10% incremental tariff for goods coming into the U.S. To be clear, this is an unmitigated number, meaning it is the total impact on the business if we did absolutely nothing to offset changes in current tariff policy. On an annualized basis, the impact would be approximately $150 million in costs. The timing on tariff implementation stays as currently planned, we would see an impact of 65% of the annualized cost in fiscal '26, with most of the impact in the second half of the year. We actually believe we can offset the impact from the tariffs, and we've activated our plans to do so. This entails cost management, select sourcing relocations and pricing actions. We are leveraging our deep and long-standing relationships with our partners and are working with them to ensure that we have the right cost structure. And on pricing, our approach is strategic and thoughtful. We have strong brands, which is always an advantage in pricing. In cost and supply chain locations, remember we have an asset-light model, as Bracken mentioned. This provides us great flexibility to move things and adjust quickly. We have every confidence we will fully offset these costs and emerge stronger as a business. So now turning to the financial review of the fourth quarter, starting with the P&L. Our Q4 revenue was $2.1 billion and down 3% year-over-year in-line with guidance of down 2% to down 4%. Overall, we are flat in the second half of the year as a whole, versus last year after being down 7% in the first half. By brand, the North Face grew 4%, led by the brand's DTC performance. Vans revenue in the quarter was down 20%, driven by our intentional actions that Bracken mentioned earlier and continued softness in DTC and rounding out the top 3, Timberland posted strong results at up 13%. By region, the APAC region grew 2%, while the Americas and EMEA regions were down 5% and 2% respectively, as we intentionally reduced promotional activity. The Americas is performing in-line with expectations and excluding Vans grew approximately in line with Q3 trends. And lastly, by channel, DTC was down 3%, while wholesale was down 2%. Gross margin for the quarter was up 560 basis points to 53.4%, driven primarily by continued cost tailwinds, lower promotions and higher quality inventory versus last year. SG&A was down 2% as faster than expected cost savings from the Reinvent program and initiatives more than offset inflation and investment in product and marketing. Our adjusted operating margin in the quarter was 1%, up 400 basis points year-over-year. Importantly, we are making real margin and profitability improvements as we continue to reshape and strengthen the foundation of our business. Finally, adjusted loss per share was a negative $0.13 versus negative $0.30 in Q4 of last year. Let me just make one comment on the full year. The adjusted operating margin improved 110 basis points versus last year, and we continue to make great progress to turn this into an efficient and well-run business as we advance towards our medium-term targets that we outlined to you in the fall. Moving to our balance sheet, where we continue to make good progress. Inventories were down 4% or $71 million at the end of the year. Net debt was down $1.8 billion versus last year, down 26%. As we fully paid off the $750 million April 21 senior notes at the end of March, in-line with our stated intentions. As a result, our leverage was 4.1 times at year-end, down 1 full turn versus last year. Our free cash flow was $330 million, which when added to the sale of non-core asset was $401 million versus our guidance of $440 million. Importantly, cash flow from earnings was in-line with our expectations. The delta was due to a timing impact that affected working capital. Moving on to the outlook. As you know, we are not guiding for the full year, but let me give you a few metrics beyond next quarter to give some indication of where we believe we are heading. First, on cash flow. We do expect operating cash flow and free cash flow -- again, not including the sale of non-core assets to be up year-on-year. Second, while you won't see leverage on the operating margin in Q1, we expect to see operating margin expansion in fiscal 2026. We will continue to make progress on our Reinvent, work streams and advance towards our medium-term targets. Let me turn to Q1, which as a reminder, is our smallest quarter for the year and also one where Vans has an outsized impact on the consolidated growth relative to other quarters. For revenue, we expect Q1 to be down 3% to 5% on a constant dollar basis. We stated in late January that we expected the first half of the year to be similar in growth rates to the second half of the last fiscal year. We expect Vans in Q1 to be similar to the Q4 trend due to the additional actions we've executed on stores and wholesale value channels. As a result of these actions, the revenue trends in the first half of fiscal '26 is expected to be slightly below the second half of fiscal '25. Moving down the P&L. We expect Q1 operating loss to be in the range of $110 million to a loss of $125 million. Gross margin will continue to benefit from fewer discounts and promotions and FX, while SG&A dollars are expected to be flat to down slightly versus last year. Finally, we expect Q1 interest of approximately $40 million and an effective tax rate in the range of 13% to 14%, which is higher than last year's reported tax rate. We will continue to provide you with quarterly guidance on tax rate as things evolve. I also want to take a moment to give you context around our long-term tax expense. Given the changes in global tax rates and our geographic mix, we do expect our reported tax rate to increase over the next 1 to 2 years and fluctuate quarter-to-quarter. This will have minimal impact on cash taxes, and we will provide quarterly guidance to help you model this going forward. In closing, we remain confident in our strategy and are well underway in transforming VF to strengthen our business and navigate any challenges or obstacles that come our way. And with that, we'll now take your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Simeon Siegel with BMO Capital Markets. Please go ahead.
Simeon Siegel : Thanks. Hey everyone. Good morning. So a nice job on the gross margin -- nice job on the gross margin improvement. Obviously, the uncertainties there, and you guys were alluding to it, but just maybe any help how you're thinking about gross margin further into the year and then how we should think about how this looks structurally longer-term? And then an ignorant question for you guys, sorry, the $313 million free cash flow from this year, does that include anything from Supreme? And if so, can you just talk about bridging the past years $313 million to the expected growth for next year? Thanks guys.
Bracken Darrell : Yes. So obviously, you know we don't give out full year guidance. I'd sort of just rear what I said about margins in general. So we expect to see continued improvement on the margin side in fiscal '26. We believe we're still on track to meet the goals we stated at the Investor Day from a few months ago. Obviously, there is lots of puts and takes for now, but we still feel really good about that. We are not going to guide specifically on gross margin or SG&A right now, but that's kind of what we -- we're headed as I mentioned on my prepared comments. You won't see much of it in Q1, which implies you can kind of make your indication where that will go for the rest of the year. Free cash flow of $313 million does not include Supreme. What we are trying to do is, I guess, last year, we've given some free cash flow numbers, included asset sales and things like that. Going forward, we're not going to do that. We'll just talk about pure free cash flow. So what we said is we expect operating cash flow importantly to be up next year. Free cash flow will be up as well. And the magnitude of that, we will see depending on sort of exactly where [CapEx lands] (ph) for the full year.
Simeon Siegel: Great. Thanks a lot, guys. Best of luck for the year.
Bracken Darrell: Thanks a lot.
Operator: Your next question comes from the line of Brooke Roach with Goldman Sachs. Please go ahead.
Bracken Darrell: Hi, Brooke.
Brooke Roach: Good morning. Thank you for taking my question. Hi Bracken, hi Paul. Was hoping that you could talk a little bit more about the onetime strategic reset actions that you are taking at Vans that weighed on fourth quarter results and are expected to weigh again on first quarter results. Can you just give us a sense of when you might be fully through some of those actions that have already been taken and whether or not you are contemplating any additional strategic reset actions to return the brand to health. Thank you.
Bracken Darrell : Yes. Thanks for the question. We expected that. By the way, I'm on the -- I think, my seventh day of post-COVID. So if Paul sounds like he's sitting far for me in the corner, and he had a leger huddled over there, and I'm in one quarter or so if I cough in the middle, you are the one. Yes. So we kind of -- I kind of highlighted in my script. I mean the bottom line is there are four things in there. One is actions in China that are really deliberately set at trying to reduce the overall level of channel availability in China to get it to the right size and the right places. And that really peaked in Q4 and that will -- that impact will continue into Q1, Q2 and then fade in Q3 and be gone in Q4. And then you've got the others that we talked about before, which are we reduced the number of doors of our own doors. We started that in last year, and it really is -- flows through, I think it's the highest quarter this quarter and that will begin to fade as we go into Q1 and then Q2 and then more in Q3 and gone in Q4. And then you've got value door closures, which we talked about before, peaks in Q4 starts to come down in Q1, Q2, Q3, Q4 and it's gone in Q4. And then the last one is distressed sales, where we're bringing those down. So I think you can kind of say the impact of these will continue kind of proportionately right through Q1 and Q2. And then in Q3, they come down and then come all the way down in Q4.
Brooke Roach: Great thanks so much I'll pass it on.
Bracken Darrell: Thank you Brooke.
Operator: Your next question comes from Laurent Vasilescu with BNP Paribas. Please go ahead.
Laurent Vasilescu: Good morning. Thank you very much. Hi, Bracken, how are you?
Bracken Darrell: Better, much better.
Laurent Vasilescu: Thank you very much for taking my question. Good to hear from you guys. So I understand that you're guiding for free cash flow to be higher at $313 million from last year. I think you have the [500 million Euro note] (ph) due March 2026, should we assume that you refinance that amount or pay it down? And then Bracken, really specifically here, I think I remember a few quarters ago, you called out that you were happy with the portfolio as it stands. Is that still the right way to think about it? I'd love to get your take there as the environment continues to change. Thank you.
Bracken Darrell : Sure, I’ll let Paul.
Paul Vogel : So I'll take the debt first. Yes, so we have the next maturity about a year from now. So yes, between free cash flow, we have about a $2 billion revolver right now, which we'll have access to and so. Our expectation right now is that between free cash flow and drawing a little bit on the revolver, we'll be able to pay that down a year from now? And then moving forward. Again, we expect free cash flow to continue to improve year-on-year, along with our operating performance and our operating margins. And so that's how we'll go moving forward. So we feel really confident that we are in a good place to continue to pay down debt and particularly the one that's coming up in about a year from now.
Bracken Darrell : On your second question, Laurent, yes, we are happy with the portfolio. I think it lines up with the strategy we laid out in October. Now that said, there is always things around the edges that you're -- we're going to keep raising and we do a kind of a firm review with our board every year. So we're going to go through that. If there is something that doesn't belong in the portfolio, you can bet that we'll exit it, but there's nothing significant that we talk about.
Laurent Vasilescu: Okay, very helpful. Thank you very much and best of luck.
Operator: Your next question comes from Michael Binetti with Evercore ISI. Please go ahead.
Bracken Darrell : Hi, Michael.
Michael Binetti : Hi guys. Thanks for taking my questions here. Paul, not to beat a dead horse, on the free cash guide. Would you mind just helping us think about the -- I think you said way to see where CapEx falls out? Any initial plan on CapEx and then working capital. I think there is no benefit this year, and you talked about a strategic timing shift. I'm wondering if you shifted some working capital benefit into fiscal '26 as we think about the build there. And then more on the fundamentals on Vans since you mentioned that the next quarter is seasonally important. And maybe you can talk about the strategy for Vans back-to-school, what we'll see this different coming out of Sun and the team. I know it's a seasonally very important part of the year.
Bracken Darrell : Sure. I'll take that one after Paul.
Paul Vogel : Yes. So on the -- first on the free cash flow yes, the shift was basically -- we had something payable that was due in the very beginning of early April and to avoid any issues and any potential interest and things of that sort of we actually decided to prepay in -- at the end of March, it was literally probably a shift of a couple of weeks. Again doing it, you knew we'd end up -- this is where we end up with free cash flow relative to our guidance, but we will always do what's right for the business and it was the right business decision to pay at that time to avoid a potentially additional charges. So that's why we did it. And yes, so that will kind of flip just from basically late -- early April until late March, and that's what that was. And then on CapEx, we -- again, the operating cash flow will go up, free cash flow go up. CapEx, we have a plan. We are not going to really guide to CapEx right now. We don't -- but to me, CapEx is also we will – we are looking at remodels. We're looking at store openings. We're looking at things we need to do on the technology side. And we have a plan that we go through and then we kind of look throughout the year, and we'll adjust accordingly depending on what's working and what's not and where we want to double dumb down. So we've got long-term plans in place, intermediate-term plans and then we have always had some short-term flexibility to move up or down based on need. So that's kind of where we are.
Bracken Darrell : Yes. And Michael, to answer your second question, I'll just remind you some of the things that Sun said, and she is very deeply executing. It all starts with leadership. We feel so good about having the right leaders in our President roles. And I feel super about Sun, and she is a magnet for talent. She's worked with a lot of people in this industry, and they seem to -- everybody seems to want to work with her. I can see why after I've been around her. So she's attracting the right people. That's the first step, and it is really happening. The second thing is product. She's a product person through and through and product is the most important thing we can do on the Vans brand. We are systematically going to continue to roll out new products. This quarter, we rolled out Super Low Pro, at a very small level and sold out of the top two styles almost immediately, and they were positioned really for women and youth. And so that's a very, very good sign to us. But she is not just focused on women now. She's focused on men, boys, women youth and footwear first, apparel second and she's well underway there. You might remember the four-season strategy, which plays itself right in. If you look at our social media now, you'll see a lot of activity in surf, for example, which is a lifestyle queue. But we obviously don't have a lot of products for surf, but the lifestyle is there. And so we are going to continue to build as we go through the year into all those four different activities she's talked about. And then making the hard choices to make sure we have the right places to distribute that we are not dragging along unprofitable stores and then profitable value channels, which we've already talked about. And so she's really well underway, and I feel very, very good about our progress. And you'll still see that as we come into [backscaling] (ph). You'll see a little more and then holiday more, still more and then in spring even more. So it's just going to keep rolling through and cascading.
Michael Binetti: Thanks a lot guys.
Bracken Darrell: Thank you Michael.
Operator: Your next question comes from the line of Matthew Boss with JPMorgan. Please go ahead.
Bracken Darrell: Hi, Matthew.
Matthew Boss: Good morning thanks. Bracken, maybe just to switch gears a bit. Could you maybe talk to the health of the North Face brand where you see that brand today? Any changes with direct-to-consumer momentum as we move into spring -- and then maybe just for Paul. I guess what's the best way to think about progress that you are making with cost actions. Where we stand on that curve?
Bracken Darrell : Yes. So on TNF, I feel really good about TNF. We've got -- you saw we had very strong sell direct-to-consumer sales this quarter, which is terrific. It continues to be a good signal. And that's without what I know is coming. So I'm really excited about the whole approach. In terms of spring, I guess the one thing I'd point to in spring is our footwear business, which is really an all-season business, but probably and probably literally skews outside of the winter window, and we grew around the world in footwear and strongly, by the way. So I feel good about that. I think it just shows that this brand really has a role to play outside of the winter period. And we are going to get more and more over time, you'll see more and more products come through. A little bit like story on brands, you're going to see every successive season, you'll see more coming from us on that. We have also, by the way, this is a fine point, but we used to develop just two seasons a year. We're moving to four. And the significance of that is that when you do two seasons a year, it is very easy for your design team to design kind of winter and winter because it kind of overlaps when you had fall. So I'll explain that any further. I hope I didn't confuse you and making it four, forces us to be better in the spring and the summer. And so that – you are not going to see the impact of that this year, but you're going to see -- it's absolutely going to see a next spring and next summer. So we'll get -- that being said, we certainly have good products for this year. So we're going to keep rolling out and have more and more coming.
Paul Vogel : Yes. And then on the cost side, I'd say a couple of things actually. So first is we've now achieved $300 million -- actually a little more than $300 million from the first phase of Reinvent, which we talked about. So we've hit our goals and targets there, which is great. Second, we started to see a little bit from the second initiative we talked about that incremental $500 million to $600 million of operating profit that was split between SG&A and gross margin. We started to see a little bit of that as well in Q4. So if you look at that and you see we beat on the operating income line and the operating margin in Q4 with revenue that was right in-line with our expectations. So again, you are seeing that we're doing -- we're getting some of that benefit a little bit earlier than we thought -- and we are seeing good progress across our DT business, our supply chain, stores, all those areas. And with that, I did mention that SG&A would be flat to down in Q1. So in general, I think you are starting to see it all come through from a cost perspective.
Matthew Boss: Great. Best of luck.
Bracken Darrell : Thank you so much.
Operator: Your next question comes from the line of Adrienne Yih with Barclays. Please go ahead.
Bracken Darrell : Hi, Adrienne.
Adrienne Yih: Great. Thank you very much. Sorry you're sick.
Bracken Darrell : Yeah, me too. But I feel better now. I'm on the other side.
Adrienne Yih: Good, just in time for earnings. So my question is not to keep on the Vans, but it sounds like there are 4 things that are kind of like non-comp sales headwinds in 2 of them, the value doors and the reducing of the inventory seem like they are largely done. But the other two kind of at various levels, diminishing kind of follow-ups into all four quarters, is that is the comp progress that you are seeing in the non-value doors enough to offset that? Or are you fantastically guiding us to think that Vans will be down throughout the year, all four quarters? And then I guess a follow-on to that is non-value channel demand is one thing, and consumer demand, right? And I think you're talking about the sellout, it's actually getting better. But in your own DTC, what are you seeing in terms of that end consumer talking to you about kind of brand equity, mind share, et cetera. Sorry, we'll do a last one. Go ahead.
Bracken Darrell : Okay. So first of all, on your -- I think your first question, yes, the answer to the question at a high level is the impacts of those four things will keep appearing in the base in Q2 -- Q1, Q2 and then a lot less in Q3 and then you're gone in Q4 and that's pretty much true for all of them on some level. So they are about the same. They all have their Vans that keep showing, they basically – we are not doing more of them. They just -- once you do these look for example, when you close a door, you lose four quarters of the door. So if you close value channel, use four quarters of the value channel. So that's -- those are going to keep trailing through there. They'll be about proportionately the same through those first two couple of quarters and less in Q3 and then gone in Q4. In terms of in-consumer demand, we're still not getting enough traffic into our stores and our websites. And I refer to that in my script. And this is fundamental brand heat. And we're doing a lot of experimenting to see what we need to do to trigger that. And I don't want to let the count of the bag on anything that's ahead of us. So we are certainly learning a ton. And the good news is that when we have traffic and when there is traffic, when you have a curated assortment, as you do in in our non-value wholesale, we're actually flat to up. And if you looked at our key accounts, we are really making sure we have the best assortment, the best execution that we can have. We're up double digits. So the key now for us is to take the medicine that we've talked about and then get the traffic up. And so that's a function of two things. You got to have things people want to come by and they've got to know about them. And so Sun is working feverishly on developing those new products and super low Pro is a great example of what's ahead of us. And then the second one is we just got to keep working on that marketing. So we've got a stronger and stronger marketing program. We've made a lot of changes in there. They're not -- you aren't seeing all of them flow through yet, so it's coming. But we'll get there. We've done it in Timberland. We know how to do this. We just got to execute.
Adrienne Yih: Timberland looks great. My follow-up is either Bracken or Paul, the tariff dollar amount unmitigated if you were to try to mitigate that through pricing, it looks like a low to mid-single-digit price increase across all geos -- well, yes, across the geographies. So, A, when does the inventory come off of the balance sheet and impact you? Which brands, which geos and then just any other color and thoughts on pricing?
Bracken Darrell : Let me take the first part of that. I'm going to let Paul take the -- when it starts to show up in our P&L. Yes, sorry about that. Paul just ran out of the room. Yes, that's -- you're exactly right. To mitigate that, we have a history of pricing. So pricing is not completely foreign to us. We've systematically priced over time. And -- so we're comfortable with our ability to price. I've gone through really dug into this, and we're pretty good at it. And you're right, it's a completely offset that 10% would be a low or a mid-single-digit number but we are not going to do that. We're going to be very strategic about how we price. We're also going after cost. We're going after relocations of manufacturing, as we said in the script. So we're leaving no stone unturned. And we're also not viewing this as a problem that we've just got to try our hardest to offset as much as we can. We view this as an opportunity. We're going to more than offset what comes our way and turn this into an opportunity. That never waste a crisis is not just a cliche, I have gone through three or four of these in my career. One time, I took the mindset of gosh, we'll try to mitigate all we can, and we did, and we got pats on the back by investors and our Board. And then after about a week after we closed the year, I was like, wow, what was I think it if we just said -- if we really have the right mindset, we could have more than offset all of it. And we did the next year. And that's what we're going to do here. So we're really after it.
Paul Vogel : Yes. I mean, Bracken out the most I say just from the impact, you'll see most of the impact in the back half of the year. We are not going to be in specific by brand. We don't really disclose sort of the brand geographic mix of our COGS. But yes, second half of the year, and as I said, the numbers that we gave you, we expect if nothing changes, if the timing of the implementation doesn't change. It is exactly where it is. We'll see about 65% of that, as I mentioned, in in fiscal '26, again with most of that coming in the last two quarters of the year.
Adrienne Yih: Great. Thank you very much, best of luck and feel better.
Bracken Darrell: Thank you. I do. I don't sound better, but I feel better.
Operator: Your next question comes from the line of Ike Boruchow with Wells Fargo. Please go ahead.
Bracken Darrell: Thanks Ike.
Ike Boruchow: Hi, good morning guys. Bracken and Paul. Hope you're feeling better, Bracken. I guess just two questions for me. Just one, if we can talk about Vans, maybe not the revenue per se, but can you talk about the thoughts on what you plan to do with the store base from here? I don't know yet what the ending store count was for Q4. But -- are there more closures you guys are planning? How are you thinking about that strategically? And then maybe, Bracken, higher level on the dividend, I know you've reduced it given what's kind of going on in the business and tariffs and the macro? Like are there any thoughts going on about potentially reducing it further or even cutting it out right? Just curious how you are thinking about cash preservation in that sense.
Bracken Darrell : Okay. I will take the first, and I'll let Paul take the second one. Yes, on the store count, we've added our store count pretty aggressively as we suggested in the last two calls. And I think that's great. We're never going to be done. You're always going to be editing away stores that aren't working and adding where you feel like you have opportunities, and we'll be doing both. But I think the heavy lifting is basically done.
Paul Vogel : Yes, on the store count, it is down on a percentage term about 7%. Yes or so year-on-year, down 8% actually officially globally, I think its 8%. And we are going to continue to look to optimize with no news. I think you've probably seen a majority of it, but we'll see where it goes. And again, it is all part of CapEx. I will strategically look at stores to close. We look at stores open if it makes sense. We'll look at ways to remodel stores. If that makes sense. We've been testing some new remodels that have gone pretty well. Again, very early days. So we'll see we'll roll them out slowly. Again, that's why I said that we lease some room in our CapEx budget to adjust, right? So we have some new store remodels, not just in Vans but across our entire store footprint. When we get traction, if we think they are working, we'll have the capacity to accelerate remodels if we don't get the ROI on those that we think we will, we can always decide to pull back and think about it other ways. So -- that's how I think about both vans, but the store count in general and how we're thinking about it from a growth perspective and a CapEx perspective.
Bracken Darrell : Dividend, I'll start, and Paul can finish. If it feels like I didn't do a good job. There's nothing to announce. We have -- we reduced our dividend twice. We took it down to – it’s about $140 million a year now. That's always on the table. If we felt like we needed it, we would certainly open that back up. We said we're our priority is to bring the leverage down under 2.5 times. So if we feel like we needed to do something that we will, we would. But we have made that decision that we -- and I don't anticipate that.
Paul Vogel: Yeah, no, nothing else to add.
Bracken Darrell : Thank you.
Operator: And we have time for one more question. And that question comes from the line of Dana Telsey with Telsey Group. Please go ahead.
Bracken Darrell : Hello, Dana.
Dana Telsey: Good morning everyone. Hi. As you think about the buckets of the gross margin, where you mentioned the product cost tailwinds, the lower promos and the higher quality inventory. How does that relate by channel and by brand and is any of these buckets continue going forward? What's your outlook? Thank you.
Bracken Darrell : Boy, that's a pretty complex question. I'm not sure how to answer that except I'll take a stab at a higher level answer, and then I'll let Paul see if he can go deeper to try to help you here. Overall, what we're doing goes forward. So this is not -- these are not temporary changes to boost our gross margin and they kind of fade over time. We're fundamentally improving our gross margin. The mix between the suggestion here that there is a gross margin difference between wholesale and retail, you had a higher SG&A on one on the retail side and lower SG&A than the other, but then the gross margins coming is true. But we really think that we've got a -- we'll have a pretty balanced balance portfolio of channel choices there that should actually have very strong gross margins. So we expect it to carry forward. I mean I'm really excited about the gross margin improvement we are getting in Vans as planned. A lot of this medicine we are taking is absolutely healing the patient just to stay on the theme today. And I think we can certainly see it in our P&L, especially in our gross margin. So we are excited about it and we have no interest, desire or willingness to backslide on that. So we expect it to stay.
Paul Vogel : Yes. I mean I guess I would just add that obviously, the reinvent initiatives are initiatives that affect all of our brands positively, things like integrated business planning. Again, it's the benefits that Bracken has talked about and why we think it will become a great multi-brand company is the things -- the initiatives that we're doing on the reinvent side, the things we're doing on integrated business planning, they will affect, and it is a standardized process that will help all of our brands, and so that will help gross margins again, markdown management will help all of our brands. So that helps everything. And then as Bracken mentioned, getting rid of some of the distress and the unproductive value doors at Vans helps gross margins there specifically. But in general, most of the initiatives we have, most we talk about really go against all the brands.
Bracken Darrell : Yes. I guess -- and maybe I'll parlay that into a close here. So thank you for the question. I'm -- we're -- Paul and I, and I think I can speak from my whole leadership team, we are -- we all recognize gross margin is the most important number in any P&L. And so we're absolutely fixated on improving it systematically over time. My last company, we improved 900 basis points almost 1,000 basis points in gross margin over the time I was there. And while I realize this is a different world, different industry, different I'm very realistic. We have a lot -- we have significant improvement in gross margin still -- so I expect to continue to make good progress there. In closing, we really are confident about our strategy. We are really well underway in transforming VF to really strengthen the business and navigate whatever challenges from a macro standpoint. They're not going to distract us. We feel good about where we are. We have a fantastic team. We are making great progress, and we’ll keep you updated as time goes on. Thanks, everyone, for the questions and the engagement, and we’ll see you next quarter.
Operator: This concludes today's conference call. Thank you for your participation, and you may now disconnect.